Operator: Good day and welcome to the Park City Group’s Third Quarter 2017 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Dave Mossberg, Investor Relations. Please go ahead, sir.
David Mossberg: Thank you, Noah. Before we begin, we will be referring to today’s earnings release, which can be downloaded from the Investor Relations page on the company’s website at parkcitygroup.com. I also want to remind everyone that this call could contain forward-looking statements about Park City Group within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements that are not subject to historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Park City Group’s management and are subject to risks and uncertainties which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in the company’s filings with the Securities and Exchange Commission. The information set forth herein should be considered in light of such risks. Park City Group does not assume any obligation to update the information contained in this conference call. Throughout this call we may be referring to both GAAP and non-GAAP financial results, including free cash flow, EBITDA, adjusted EBITDA, net debt, net income and earnings per share which are non-GAAP terms. We believe these non-GAAP terms are useful financial measure for our company primarily because of the significant non-cash charges in our operating statements. The reconciliation of non-GAAP results in earnings release and on the Investor Relations section of our website. Our speakers today will be Mr. Randy Fields, Park City Group’s CEO and Chairman and Todd Mitchell, Park City Group’s CFO. With that, I’ll turn the call over to Todd?
Todd Mitchell: Thank you, Dave. We put up another strong quarter, fiscal third quarter revenues grew 33% to $4.8 million. This was in line with our expectations for the quarter and puts us on track to achieve our financial targets for the year. Top line growth was driven by revenue growth from our largest ReposiTrak, year-over-year gains in supply chain revenue and an acceleration in smaller supplier hub sign up. Fiscal third quarter net income was 900,000, up from 295,000 a year ago. This was 19% of total revenue, also in line with our expectation. So far this fiscal year we have converted $3.5 million in incremental revenue into $2.8 million in incremental net income for an incremental contribution margin of 80%. Clearly, this demonstrates the operating leverage in our business model. We remain confident that revenue and profits in the second half of the year will be stronger than the first half and that we will exceed the financial and operating targets we articulated at the end of fiscal 2016. Now, with regard to expenses, total operating expense were $3.8 million in fiscal third quarter, up 17% versus a year ago. This was expected, we said last Q, operating expenses was kind of hit in the back half of the year. We are not a quarterly company, the revenue and expenses are going to fluctuate quarter-to-quarter. We are investing where we believe it will translate into faster revenue growth and improved operating leverage. Specifically, during the quarter, we expanded our account management team. We initiated execution on our next 10x project and we launched MarketPlace. And while we talked about these investments in terms of helping to drive revenue growth and operating leverage, what they are really designed to do is to drive customers success, because if we are successful in helping our customer achieve their goal, in terms of getting their suppliers on the system faster and in terms of getting them compliant more rapidly then we will be successful in achieving our goals for revenue growth. And if we do this smartly our investments will lead to a level of automation which will not only enhance the efficacy of our offering to our customers, but also drive operating lever and by extension profitability. Self implementation is a perfect example of this. We are tremendously focused on getting to the point where all of our services can be self-implemented by the customer. As we've seen in ReposiTrak where the majority of our hub supplier is self-implemented, you cannot solve scaling by throwing a bunch of customer service reps at problem. You have to build a system where a buyer can sign up and get compliant on their own. Then you hire customer service rep, both maintain and build on that relationship. This quest for efficacy and efficiency is what 10x is all about and it’s what MarketPlace is all about. 10x is about giving our account management team the information and tools they needed to make sure that suppliers are coming on the system and getting compliance faster and 10x is about giving are finance team the information and tools they need, so that they can make smart decision and monetize the account management team activity efficiently. Similarly, MarketPlace is about giving our hubs the ability to find new suppliers and new products on their own and giving our suppliers the ability to find new customers on their own. During the quarter we thought one of our largest hub used MarketPlace were sourcing product in categories other than food. It was an instance where a customer had a very specific business deal which they were able to resolve on their own on our platform. This is how we design, define success. Now I will drill down into expenses by component because I know you want me to do that. But as I’ve said these numbers will tend to fluctuate from quarter-to-quarter as we invest in our future. Cost of service increased 28% in the fiscal third quarter to $1.34 million. This was primarily due to incremental expenses associated with the launch of MarketPlace and to a lesser extent some incremental expenses associated with the deployment of our vendor portal with a couple of large customer. Sales and marketing rose 7% in the fiscal third quarter to $1.35 million. This was primarily due to an increase in our account management team. This team has doubled the size over the past year and we will expect it will double in size again over the next year. General and administrative rose 200,000 in the fiscal third quarter to just over a $1 million. This increase was primarily due to higher consulting fees and investment associated with our 10x project. We also saw one time increase in facilities as we move down a floor in the same building to get more space and a better layout for about the same amount of rent. And something I want to emphasize with regard to cash flow and liquidity. We ended the third quarter with $13.5 million in cash. This was up over $2 million from just 2 quarters ago, due to a record $1.6 million in operating cash flow during the quarter. This was driven, first and foremost by growing revenues and profits, but also from a drop in accounts receivable as our large central built hub settled into a regular billing cycle, as we said would be the case. Going forward we expect to generate strong top line growth in the 25% to 35% range, to see an even greater increase in bottom line profitability and for a relatively high percentage of net income converted into operating cash flow. That concludes my review of the financials for fiscal third quarter. And now I will turn the call over to Randy for more exciting qualitative update.
Randy Fields: Okay. I apologize I'm going to read my remarks again today that constrains me a bit, but we'll get to questions later and I'll try and add some color as I go through these prepared remarks. Important to recognize for those of you who are new to listening to the conference call, that I am almost impossible to satisfy, it’s just not in my nature. Having said that, the fact is it was a terrific quarter by [indiscernible] The financial results were very strong, that generated 33% year-over-year revenue growth, made even me smile. We had record operating cash flow that's critically important. And as Todd pointed out, we ended up with $13.5 million of cash on the balance sheet, up a couple of million dollars just two quarters ago. When you look at that number and for those of you who've been around for a while and look back on where we were just a few years ago that should certainly bring a smile to your face as it does to mine. As we look to the future though, we see pretty incredible opportunity to continue to grow our best. Fundamentally we have the opportunity to do business with absolutely everyone who touches through in the global supply chain, which is as we all know, the largest SIC Code in the world. Importantly though, we also have the opportunity to increasingly sell more and more value added services that helps each of the participants in that supply chain and as we fondly said, sell more, stock less and see everything that happens with their trading mark. In other words, we expect that the network effect is beginning to take hold that will drive our business substantially over the next several years. To address opportunities ahead of us, during this quarter we continue to grow both the scale and the scope of this network, the words you are going to hear us use more frequently going forward, the idea that we are building out a very interesting network. We increased our base of large we call them Tier 1 hub which would consist primarily of retailers and wholesalers. Important to note, although we're doing it quietly at this point, we're now doing business with three of the five largest food retailers as chain in the United States. We launched our vendor portal with two of our largest customers and we saw a dramatic acceleration of the supplier hub. That's kind of a Tier 2 hub as we would think about it, supplier hub sign up and we did all of that while putting an enormous amount of energy and time and investment into the future, specifically the launch of MarketPlace which exceeded our expectations. Think of market place as an investment ultimately in our revenue structure and as Todd eloquently spoke to the successful initiation of the 10x project which is an investment in both our cost structure and our quality of service. So let me add a little bit of color to all of that, ReposiTrak update. As I mentioned we're seeing a positive network effect with ReposiTrak as its momentum continues. ReposiTrak is now clearly the industry standard for food safety and compliance management, not just from endorsements from the industry anymore, the trade associations that have endorsed. It's really increasingly the names on our customer list. As I suggested we signed the third of the top five food retailers in the US. During the quarter we added two other large and very influential, think of them thought leader hub and retail. During the quarter, we saw a dramatic acceleration in the supplier hubs sign up. People are talking about it literally today at a food safety summit. One of our customers gave a presentation and it was in fact standing room only to hear about us. So it’s happening. We're getting people talking about us, we're getting people using the system and that in turn has leads to more sign ups. It's fair to say that business is literally coming our way or think about it as we pushed up. Our success is really also being driven by a dramatic increase in the sense of urgency of the hub. When we first start into this in whole food safety, compliance management a few years ago it was intriguing to people, it was different, it was something that people knew was important but not urgent. And I think it's fair to say that there's been e-change in the mentality around what we do, the risks associated with the business, not just the regulatory risk, but the torque [ph] risk and the consequences that there is now a sense of urgency that didn't exist a few years ago. What that translates to is that our hubs want to move faster in almost every respect and the change frankly is palpable, all of us inside the business fell like that, it had a tremendously positive impact on our scaling, you see that in our revenue and connection. Hub s though are increasingly thinking of us as a big teaching part. And we're going to come back to why that’s important. That in turn is helping to create this positive network effect that we referred to it as we extend our reach from farm to port. Our success is as always reinforced by our excellent – excellence in execution. We’re constantly improving the rate at which we today bring a hub online and begin to get a compliant is remarkable compared to where we were a few years ago. In fact, interestingly as I look back on the year in one of the quarters this year we actually brought on more spokes or connection in that quarter than we had in the previous three years. So we’re scaling the business and at the same time we're doing a better and better job for our customer. Remember, for those of you who have been around for a while the obsession of this company and the culture of this company is really predicated on the idea that our customers come first, their needs, their desires, their success comes ahead of our success, what we get out of it is shareholders is derivative of the success that we generate with that customer and that’s working. Our customers know that we care about them. They're appreciative of what we do and they are talking about us very positively. So we're doing that though because we're constantly focused on how we can enhance our capability. As Todd mentioned, we're increasing the size of the account management group that gets our hub to client, but the same time we're focusing in the sense on both their productivity, their processing, the tools that they need via the 10x project that we talk a lot about, would be ongoing for a numbers of years. Importantly during the quarter we launched vendor portal with two of our largest customers. As we mentioned, we used to refer to this as convergence in a sense getting two of our largest customers to move into this vendor portal really complete if you will this convergence effort on our product. For us the vendor portal is really a unified service delivery platform and that’s helpful. The unified service delivery platform that enables our supply chain in the ReposiTrak product to be self implemented, picked by the customer, chewed in bite sized pieces if you will and the net result is that it's been very exciting internally to see both the technological progression and the sales progression to a fully integrated end to end platform that starts with compliance management and ReposiTrak and ends with the MarketPlace with supply chain in the middle of the path. So the artificial barrier of having legacy's supply chain business and new ReposiTrak business is now evaporating at a very rapid rate. Our vendor portal was deployed with in particular the adoption of what we call item level compliance manager and that's exactly what it did. It is to say that increasingly when you think about the problem of compliance management, ReposiTrak initially was geared to the idea of vendor, think of it as corporate level compliant. That means the company doesn't have insurance, doesn’t have a W9 things like that. And then facility level of compliance, think of that as, do they have a successful SQF audit, have they had any FDA problem and now what we're finding just as we get was that our customers are increasingly interested in the attributes and compliance of individual products that are made by companies to buy facilities. An example of that are the sort of social attributes that we see on television and radio and hear talked about a lot. For example, GMO, non-GMO, organic, natural et cetera, all of those kinds of things are now areas of compliance that our customers are increasingly entering. To us it means an opportunity to push ourselves deeper and deeper into our \customer’s business problems and help them overcome those problems. Obviously it result from our perspective in both better long-term customer relationship and frankly increased revenue for us, whether it’s a revenue per connection and revenues that we derive from our hub to go up. But what it really means is that we're solving more and more problems that our customers bring to us I mentioned and it's important to note that we saw a dramatic acceleration this quarter with what we call supplier hub sign up. And these are important because in the long run there are literally hundreds and hundreds and hundreds of thousands of these suppliers who adopt ReposiTrak for their supply chain. That's specifically what we mean by a supplier, rather than typically what we’re finding is has used ReposiTrak because they were required to by one of their customers, a retailer or a wholesaler and they in turn then used the system and ask themselves the obvious question why wouldn't I use this for my own supply chain, why wouldn't I adopt ReposiTrak not if you will as they spoke to a supplier, but why wouldn't I use it for my own supply chain. And we've seen a significant uptick in the number of our users as suppliers picking up ReposiTrak and driving us deeper and deeper into the supply chain, in fact, this quarter interestingly in a victory, we have a very large, I think of this company as one of the largest specialty fruit and vegetable produced broker distributors in America. They were acquired by some of their retail customers to use ReposiTrak. And a couple of years ago the COO of the company went well, why don't I do this for my supply chain, and it was adopted by that company. Well the next thing he knows that's one level baton [ph] Some of their suppliers have begun to use the system for their supply chain. So now we're three and four levels down which creates a compliance network if you think about it that extends all the way from the retailer shelf right down to the farm where they produced with a backdrop. We think that visibility is increasingly important to the MarketPlace, to consumers and ultimately we believe will drive our adoption at even more rapid rate. MarketPlace. This quarter we launched market, for us MarketPlace is really a compliant vendor sourcing system. It was developed frankly after we discovered that between 15% and 20% of all of the vendors that we saw in our system were either unable or unwilling to become compliant for their customers. And what that leads to is the need to replace those vendors because of the risks associated we are doing business obviously with people who either will not or cannot become a compliant. So MarketPlace is really a service that allows hubs to find new compliant vendors to replace kind of the bad actors that they have to deal with today. And it's also a place where compliant vendors can find themselves new buyers of their product. Well, what's happened is that in fact the company put an enormous amount of time and energy. I'm not sure we've ever done a launch that had as many different pieces of our business focused on that launch as we did report. So I think it's fair to say it was our biggest single effort ever executed by the company. But reception has been remarkable so far. We're still in development. We only have one buyer in the system, it turns out that buyer is one of our largest customers. They are using it in ways that we would not have expected, at this point it's all non-food there's a surprise inside the system, so it goes far beyond food. And so far the feedback is pretty extraordinary. In fact, within two hours the press release that went out on the announcement of MarketPlace I had received four phone calls from our hubs and some of our largest saying they wanted to use the site. So I think in the long run it's fair to say that MarketPlace is likely to be a big hit. We don't know how big. We think internally that will be a very important adjunct to our business over the next several years. But I want to be clear that it's certainly not a profit contributor, there is lots of development work to be done and that it is the kind of business that we think over the next several years, years, not quarters years, we say one more time years, over the next several years MarketPlace will become central to what we do and we're going to continue to invest in the future. So wrapping this all up, the fiscal third quarter results really built on the momentum that we reported in the first half and certainly suggest that as we have thought, there is going to be a pretty amazing year for our financial. We continue to expect revenue, profitability and operating cash flow in the second half of the year to exceed the first half of the year. Stay tuned by the way, you're going to hear an interesting number here in a moment. So tune now, yeah. We've brought a number of new very exciting products and services to the market this year. I think we've had four or five new products. We've only talked with you about a few of those, but there is actually been some additional product introductions. We'll talk more about those in the next call... Okay. Here comes the key point. We're still not a quarterly company please remember this quarter we had 33% revenue growth. It's reasonable in the quarter that we've entered to expect revenue growth to exceed 40%. So this will be a terrific second half of the year. This is going to be a fabulous quarter that we're in now. But longer term, we do expect our top line as far as we can see to grow 25% to 35% a year. Some years will be 25. That might even be higher than 30, but 25 to 35 is pretty much the trajectory we see ourselves. We expect that rapidly growing revenue base to support progressively higher operating margin. We’re going to continue to add cash to our balance sheet. Our larger customers want to be comfortable because they think of us as long-term partners not short term partners. So things are exceptionally good. And frankly looking out from where we are it should only get better. Okay. Thank you guys for you interest, thanks for the support. And now we’ll take a few questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Bob Miller with UBS Financial.
Bob Miller: Hi, Randy.
Randy Fields: Hi, Bob.
Bob Miller: So operating expenses went up about $400,000 sequentially and that was to support growth, MarketPlace and account reps and so forth. Is that something that should start you know, growing much slower here in the coming quarters or should we just expect that to keep going up rapidly to support your growth?
Randy Fields: Good question, Bob. The way – again, we think about this is, we're not a quarter-to-quarter company. So annually we would expect our expenses versus our revenue to be significantly lower. But in any given quarter there may be increase. So overall for the year we're going to as you know, quarters 1 and 2 were small increases, quarter 3 was larger, but the year will be quite comfortable in relation to the top line growth. We're obviously on a trajectory I guess, year-to-date we're probably, I'm just thinking 30, I'm looking at my CFO, 34% to 55% top line and expenses are probably 10 – 7%. Call me crazy, but I think that's the way we would like to see it. So the goal here is to invest conservatively, but to make sure that the level of support that we're giving our customers for their success is appropriate.
Bob Miller: Okay. And when you talk about the MarketPlace being an important contributor not in the quarters ahead, but years ahead, how do you monetize that?
Randy Fields: The truth is we see several paths to the monetization of the MarketPlace. At this point those are not things that we really want to talk about publicly. We're still working on them internally between our hubs and our suppliers. But in the very long run, we think the MarketPlace is central to what we do. In a way historically we've grown by using our technology to help our customers see their problems. We call that visibility and then from seeing their problem we've made it our responsibility to help them with the solution to those problems. So in a way we feel this obligation if you will that having exposed this problem in the industry where 15% to 20% possibly even more of the suppliers are – let at this point say they are suspect, we just don't know, they won't give us the information or they do give us the information and it’s scary. We in essence have uncovered a problem for the industry which are non-compliant suppliers and I can tell you that one of our largest customers basically now has T-shirts for people in the office that say if you do not comply you do not supply. But the problem is how do they go find all of the good kinds of suppliers, the good guys that they should be doing this. And that's what MarketPlace is about. So we're going to enter this territory. I am sure that we - one of the methods that we see are more for monetization of the MarketPlace will be put in place. But for now we just want to see what the adoption rate is like to get it right and get it - get it up and running in the way that’s self sustained.
Bob Miller: Okay. And you mentioned that this is one of the largest undertakings that the company has committed to and that there's still a lot more investment and work left to be done on it. So could you kind of give us a little more flavour of exactly what that means as...
Randy Fields: Yes. It’s not – that probably sounds like a financial commitment, it’s not as much financial as it is time and focus from multiple groups. Let me give you an example, because this is very different, the MarketPlace is very different from anything we've done. We had to involve the whole sales organization, so they could learn the product well enough to talk to suppliers and hubs about it. We had to create training for the support people. We had to create if you will a whole new system internally for reporting problems around it. We had marketing involved in it. We had training involved in it. So - and that's all aside from development. Interestingly the major cost element has not been development, it's the focus of every other group of the company on the MarketPlace to hold the hands of each other and customers to be sure that adoption goes properly. So it's really a focus issue, it’s not a pure financial issue and that's going to continue for some time until we get everybody inside the business comfortable with this idea of MarketPlace, until we start getting buyers and sellers together on a weigh larger scale than we do today. And we think at that point much like ReposiTrak it becomes a network enabled. The network of buyers and sellers tend to create more buyers and sellers. So it's pretty exciting internally, it’s just take and getting more groups of people focused on this than anything we've ever had to do.
Bob Miller: Okay. And one more question. You said your first customers on MarketPlace now and they're using you for non-food items. So that just sounds like a contradiction of what MarketPlace is. So what is MarketPlace...
Randy Fields: No, no, not at all. Remember, we didn’t say unsafe food, we said compliant...
Bob Miller: You’re using – you said that they were using it for non-food items or not..
Randy Fields: Yeah, remember our - first of all ReposiTrak covers more than just food, basically if you are a vendor, if you are a service agent, if you service refrigeration in the store there are compliance standards that you have to adhere to, to do business with one of our hubs. You have to have workman's comp as an example. So we don't just cover food safety, we cover compliance of all vendors against all criteria that a hub if you will, retailer wholesaler would establish for his supply chain including service center. So the reality area is that non-food items are definitely going to be a major part of the MarketPlace just as food items. We just wanted to know that it was interesting that the first transaction inside of MarketPlace have been non-food.
Bob Miller: Okay. Can you give us a couple of examples of what those were?
Randy Fields: Everything from Haitian flag to beach towels to water bottle.
Bob Miller: Okay...
Randy Fields: We would not otherwise imagine would be under our [indiscernible] So it's been very - it's really been intriguing, and intriguing.
Bob Miller: All right. That’s all I have. Thank you.
Randy Fields: Thanks, Bob.
Operator: [Operator Instructions] We'll take our next question from Guy Riegel with Ingalls & Snyder.
Guy Riegel: Hey, guys. How are you?
Randy Fields: Good.
Guy Riegel: Good. Hey just getting back to MarketPlace and somebody you know, your main - one of your main clients has signed up for it and is using it. How is it populated, meaning let's say Randy you're using Todd as a supplier of food and it comes out that he's non-compliant. So now you got to look for somebody else. How do you populate kind of the MarketPlace...
Randy Fields: Got it. Guy, that's a good question. It's a bit counterintuitive, stay with me. Let's make it more complex than you instinct, meaning let's suppose I have three different buyers, three different retail companies in the MarketPlace, each of those company has different compliance standard than the other. There is no concept of compliance. It's a relative concept. So an example might be, I require $5 million of liability insurance and a $1million umbrella and I require an SQF [ph] we might have somebody else that requires $10 million and no SQF. So in – what the MarketPlace does is take to look at a supplier who would achieve your compliance standard as opposed to quote the compliance standard, which don’t exist and it would see that supplier up for you to do business with because he is to you a good guy. That makes sense?
Guy Riegel: But how do I know about that supplier or that vendor who meets my standards?
Randy Fields: Yes. As you literally would go into the MarketPlace think of it is, it’s almost Amazon like and what you would do is let's suppose you were looking for and making this [indiscernible] a tomato paste vendor. So you would type in tomato paste and the system would return to you vendors to achieve your criteria. So it would show you tomato paste vendors in the system that in fact and they will have self-implemented, they will put all of their product level information in et cetera. And now you will see just like on Amazon the vendors that you could do business with.
Guy Riegel: And is it the concept of - if I'm the tomato paste vendor, and I have signed up for ReposiTrak. Are you going to allow me to check a box to say you can also sign up for MarketPlace?
Randy Fields: Bingo.
Guy Riegel: And in that scenario are you getting paid twice?
Randy Fields: Well, not really, at this point there's no incremental charge to be in MarketPlace because we want to increase the sales of our user and we want to solve the problem of our buyers because they really have a tough job ahead of them to find good suppliers to replace suppliers that aren't as good. So there is no...
Guy Riegel: How do you get compensated, how does MarketPlace then make money?
Randy Fields: What I said a little bit ago was, we don't want to discuss all of that at this point. We see several paths to interesting revenue opportunities for us, but at a minimum if you in fact find a connection, so you're a buyer and you suddenly start doing business with a new supplier that becomes at a minimum a new connection. So worst case we end up with additional connection revenue as we do today. So that's the worst case, but we think there are some other interesting cases beyond that which is probably we don't want to talk about.
Guy Riegel: Got it. Okay. Thank you so much.
Randy Fields: You bet. Thanks, Guy.
Operator: We'll take our next question from Mark Stafford with [indiscernible] Capital.
Unidentified Analyst: Hi, Randy.
Randy Fields: Hi, Mark.
Unidentified Analyst: When you were talking about MarketPlace, I was just thinking about the other businesses with pharma, and insurance and you know some of those other areas you touched on you know in the past calls, anything new in those areas?
Randy Fields: Yeah, a little bit of an update. The insurance thing is getting to be – remember, let's go back. First let me deal with pharma, we're just not going to do it. I just don't have the patience. I had expressed that, it's almost a personal thing because it's lawyer driven. It is so slow, so slow to adopt, so peculiar. We're just not emotionally cut out for that. So we're just not continuing to invest the effort against pharma at this point. But on the insurance side, that’s moving relatively well. And what's happening is just as we would want. We now have one of the largest insurance companies in the world saying to its customers who are retail hubs and wholesale hubs, if you will. That if you are a ReposiTrak user we're going to improve on newer insurance rate. So that's beginning to have a pretty interesting impact, it’s still early, but we were able to get over the goal line with one largest insurance companies on [indiscernible] and now what we want is we’re moving that along inside some trade associations et cetera. But the insurance part of our business, meaning, the idea of rewarding people for being good citizens is going very well.
Unidentified Analyst: Okay. Thanks.
Randy Fields: You bet.
Operator: And at this time, we will conclude the question-and-answer session. I’d like to turn the call back over to management for any additional or closing remarks. Thank you all for you interest in Park City Group. Our form is present at the bottom of the press release, please feel free to reach out to us if you have any additional questions.
Operator: And that does conclude today's conference. Thank you for your participation. And you may now disconnect.